Operator: Good day, and welcome to The New York Times Fourth Quarter Earnings Conference Call. As a reminder, today's conference is being recorded. At this time, I'd like to turn the conference over to your host, Ms. Paula Schwartz. You may begin.
Paula Schwartz: Thank you, Tricia, and good morning, everyone. Welcome to our Fourth Quarter 2011 Earnings Conference Call. We have several members of our senior management team here today to discuss our results with you including: Arthur Sulzberger, Jr., Chairman and Chief Executive Officer; Michael Golden, Vice Chairman; Jim Follo, Senior Vice President and Chief Financial Officer; and Scott Heekin-Canedy, President and General Manager of The Times. All of the comparisons on this conference call will be for the fourth quarter of 2011 to the fourth quarter of 2010, unless otherwise stated. Our discussion will include forward-looking statements, and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2010 10-K. Our presentation will also include non-GAAP financial measures, and we have provided reconciliations to our most comparable GAAP measures in our earnings press release, which is available on our corporate website at www.nytco.com. Now I will turn the call over to Arthur.
Arthur O. Sulzberger: Thank you, Paula, and good morning, everyone. Looking back at 2011, I could use a number of adjectives to describe the year: challenging, fascinating and, to a great extent, transformative. Both in terms of our past, but more importantly, in terms of where we are heading, 2011 will be remembered as the year in which we made unprecedented strides in our strategic evolution to a multi-platform organization. The launch of digital subscription models, both at The New York Times and The Boston Globe, created a robust new revenue stream, that contributed to the company's circulation revenue growth. The positive consumer response to our digital subscription packages is a strong indication of the value users place on our brands, especially our high-quality journalism, and their willingness to pay for our content and convenient access across multiple platforms. 2011 was also a year in which we continued to realign our operations in the face of ongoing economic and secular challenges and strengthened our balance sheet, while demonstrating at every turn our commitment to that special brand of journalism and high-quality information that defines The Times Company. Let me review some of those highlights. After extensive study, research and development, we launched paid digital subscriptions at our 2 largest news properties, starting with The New York Times in March followed by The Boston Globe with BostonGlobe.com in October. The International Herald Tribune also launched digital subscription packages in October. In terms of business operations, we have remained very diligent and disciplined in managing expenses while, at the same time, continuing to invest in digital initiatives across the company, and providing the resources needed to produce the high-quality journalism across a growing array of devices. We further strengthened our balance sheet and liquidity position with the early repayment of our highest interest debt in August. Eliminating this debt from our balance sheet more than 3 years ahead of maturity provides us with increased financial flexibility. In addition, we continued to address our pension obligations and made sizable discretionary contributions. Last month, we sold our Regional Media Group for $143 million, subject to certain adjustments, further building our strong cash position. This sale will enable the company to continue our transformation to a multi-platform media company and our pursuit of a strategy that focuses on development and diversification of our brand on a global scale. Something I do want to address is a key investment area for us, our continuing focus on maintaining what I believe to be the very best journalistic organization in the nation and, perhaps, internationally. 2011 was a year of dramatic news events, particularly on the international scene. And I'm proud to say that faithful to our tradition, The Times Company's publications have provided some of the best and most in-depth coverage and analysis of this period. In the face of ongoing change in our industry, The New York Times Company continues to maintain a large and robust news organization, one without parallel in the field. We do it for a simple business reason: quality journalism and content are the core of our brand and our strategy. As we approach the anniversary of the launch of The New York Times digital subscriptions, which totaled 390,000 at the end of the fourth quarter, we are excited and optimistic about our digital strategy. NYTimes.com has maintained its strong reach with 33 million average monthly unique users in the U.S. and 48 million globally in 2011. Looking ahead, we will continue to enhance our content, our tools and our apps to increase the engagement of our users. This also includes actively leveraging social media networks to encourage conversations and debates, while engaging with our journalists. The New York Times' main Facebook page now has nearly 2 million fans, and our Twitter page has more than 4 million followers. Finally, at year end, we saw the retirement of 2 of our senior executives, Janet Robinson and Martin Nisenholtz. We thank them, for their leadership and their guidance and for the significant accomplishments over their careers that were critical, as the company transformed into the leading global multimedia news and information organization it is today. As for the CEO search, it is in its early stages, as our board seeks to find the appropriate executive with digital and brand-building experience to help guide this company and its long-term growth strategy. For the present, we are fortunate to be able to rely on a very strong, deep and extremely talented management team, that remains focused on maximizing shareholder value. To that point, Michael Golden is currently playing an interim role, with the New England Media Group reporting to him, while Jim Follo is doing the same with the About business unit. These roles will ensure each unit has the necessary ongoing direction and guidance as we continue to execute on our strategy to transform and rebalance our business. We will accomplish this through a combination of prudent fiscal management, a strong focus on diversifying our revenue streams and strengthening our digital businesses and the pursuit of new opportunities for growth. And now, I would like to turn the call over to Jim Follo.
James M. Follo: Thank you, Arthur, and good morning, everyone. Our fourth quarter and full year results reflect a challenging advertising marketplace, which continues to be affected by the slow economic recovery. But despite these headwinds, we achieved 3% growth and operating profit both before depreciation, amortization, severance and special items in the quarter, primarily through incremental subscription revenues, resulting from the launch of The Times new digital model, and through continued focus on cost management. Our Digital subscription initiatives remain our top priority in the fourth quarter as The Times continue to build on its digital subscriber base, and BostonGlobe.com pay site began charging for the first time. We remain confident in our ability to continue to build a robust revenue stream, centered on charging for access to our award-winning content. In the fourth quarter, overall circulation revenues continued to see a robust -- see robust growth from digital pay products, especially at The Times. Total circulation revenues were up 5% for the company and 8% for The Times Media Group. It is worth noting that The Times, in particular, has seen benefits to home delivery circulation following the launch of digital subscriptions, due to an uptick in new orders and improved retention rates relative to the period prior to the launch. The advertising marketplace remains soft in the fourth quarter. Digital advertising revenue was down 5%, driven by continued challenges at the About Group, which saw a 26% decline in advertising revenue, while digital advertising revenue across the News Media Group posted a 5% gain. Rounding out the quarterly revenue numbers. Total revenues for the company declined 3%, with advertising down 7% and circulation revenues up 5%. Print advertising trends improved slightly from the third quarter and finished down 8%. We maintained our sharp focus on managing costs in the quarter to mitigate the effects of the overall revenue declines on our operating performance. The company's operating expenses before depreciation, amortization and severance in the quarter declined 5% to $23 million. The cost decline was 4% on a GAAP basis. And in addition to the operating profit metric I've mentioned earlier, on a GAAP basis, we reported operating profit from continuing operations of $107 million in the fourth quarter compared to $112 million in the same period in 2010. Diluted earnings per share from continuing operations, excluding severance expense and special items, was $0.45 in the fourth quarter, down $0.01 from the same period in 2010, principally due to a higher effective tax rate in 2011 quarter. On a GAAP basis, we reported diluted earnings per share of $0.39 from continuing operations in the quarter compared to $0.44 in the fourth quarter of the 2010 period. Returning to our digital initiatives. At the end of the quarter, The Times Media Group had 390,000 paid digital subscribers, up 20% from the third quarter. This number includes subscribers to the IHT -- to The Times and IHT digital packages, e-readers and Replica editions. The Boston Globe had about 16,000 paid digital subscribers to BostonGlobe.com, also including e-reader and Replica editions. At the end of 2011, the sponsorship of more than 100,000 highly-engaged Times users came to an end. We expect to continue to convert a significant number of those readers to digital subscribers in the first half of 2012. We have received very positive feedback and critical acclaim on BostonGlobe.com's clean design, and we expect to develop a loyal audience. The site went live in September, and moved forward with its pay model in mid-October. Unlike NYTimes.com, which already had a strong reach when it launched its paid model, BostonGlobe.com is an entirely new site, and we expect, it will take some time to build a following and to grow its digital subscriber base. At the beginning of the first quarter, we completed the sale of our Regional Media Group for $143 million of cash or approximately $150 million after tax benefit. We will book an after-tax gain of about $32 million on the transaction in the first quarter. We retained the pension assets and existing pension and postretirement obligations that were part of the group. The group's results are part of our 2011 financial results from continuing operations, and separate 2010 and 2011 quarterly financial information for the group is provided in today's earnings release. The group's results will be reported as a discontinued operations beginning in 2012. Now let me provide more depth on the fourth quarter revenues. At the News Media Group, which included The Times, New England and Regional Media groups for the fourth quarter, growth in digital advertising was up 5% but could not offset an 8% decrease in print advertising. The group's total advertising revenue, which declined 5% year-over-year in the quarter, declined 7% in October and November and 2% in December. The group's growth in digital advertising was led by increases in national display, most notably December. In the fourth quarter, we also saw digital gains in retail display as well as in 2 major classified advertising categories, automotive and recruitment. Within the News Media Group, the Times Media Group -- at The Times Media Group, while overall revenues were up 1% in the quarter, advertising revenues were down 4% and solid growth in digital display was more than offset by print declines. Aggregate national advertising declined and aggregate retail and classified advertising were also lower. The Times digital strategy is now focused on continuing to grow its subscriber base, and extend its digital brand. We are confident that our plan to sustain momentum through the rollout of a series of new features, functions and content will enable us to steadily build our digital progress to date, further broadening our audience and solidifying the loyalty of our existing readers. For instance, we continue to build on our paid model initiatives, most recently enhanced during our Times offerings, by including shared access for additional login for home delivery and all digital subscribers, one-click subscriptions in iTunes and through Apple's Newsstand, group corporate accounts, gift subscriptions, free access to NYTimes for Kindle and NOOK subscribers of The Times and special rates for college students, faculty and administrators. We plan to launch group accounts for education subscribers soon. Ongoing investment on our unmatched content will continue to be a critical component of our digital strategy, as we expand some current content to drive increased engagement levels and additional points of access and create some entirely new homes for content. For instance, our new iPad app, The Collection fashion app, will soon be -- will soon require a digital subscription for full access. The Times is also planning an expansion this spring of our popular health blog, Well, and recently enhanced our technology blog, Bits, to incorporate a larger B2B focus, with deeper coverage of the technology industry. Our premium advertisers have been quick to embrace these new and expanded environments. Our print platform has benefited from a digital strategy as well. The benefits to home delivery circulation were especially evident in the most recent ABC report, with the 6-month period ending September 2011, in which The Times Sunday home delivery volume showed positive year-over-year growth, the first increase in home delivery circulation in 5 years and another clear indicator of the multi-platform demand for our products. The Times remains the most highly circulated Sunday newspaper in the United States. Our overall average circulation capturing The Times new digital subscriptions for the first time was more than 1.6 million on Sunday and just under 1.2 million on weekdays. Also on the circulation side, at the beginning of 2012, the Times instituted a price increase of 4% on average for home delivery across all days of the week and a $0.50 per copy rate increase for weekday newsstand addition. This is our first increase in 2.5 years. We anticipate this change will improve Times' circulation revenue 2012, despite the slight volume decline that inevitably accompany a price increase, in addition to the effects of the new revenue stream from The Times digital pay model. At The New England Media Group, advertising revenues declined 11% in the quarter, mainly due to weakness in print advertising. Overall, national ad revenue was down and total retail advertising revenue was also lower. Digital classified ad revenue showed strong growth, reflecting increases in every major category: automotive, real estate and recruitment -- but combined classified advertising revenue was down, resulting from continued print weakness. Moving on to the About Group. Total revenues declined 26% to $26 million in the fourth quarter, with decreases in cost-per-click and display advertising contributed almost equally to the decline. About faced a variety of challenges in 2011, but we believe we are on the right path. We have made key changes there, including a new management team, and About has aggressively responded to increased competition in both display and search advertising markets. Declines in CPC advertising in the fourth quarter resulted from lower click-through rates or the rate at which users are accessing these CPC advertisements. We also saw a decline in advertising rates for CPC ads, which was in line with the marketplace. On the display side, About has also been rolling out a disciplined sales plan to better leverage the site's strong reach, averaging 60 million unique visitors in the U.S. and 100 million globally in the fourth quarter. The site completely rebuilt its sales force in the second half of 2011 and is optimistic about the potential for this new team. We believe this renewed sales focus will prove instrumental in revitalizing About's display advertising business. In the fourth quarter, About began to see positive impact on traffic, which affects both CPC and display advertising, but that was offset by click-through rates and ad rates on the CPC side, and the necessary ramp up time for the new sales team on the display side. We expect the turnaround in this business to take some time as our sales and marketing efforts gain traction and page view growth improves. Accordingly, we don't expect to see meaningful improvement in revenue trends until the second half of 2012, particularly on the CPC side. The About Group's operating costs declined 7% in the fourth quarter, and operating costs excluding depreciation, amortization and severance decreased 5% to $15 million, primarily due to lower marketing and compensation expenses. Operating profit declined to $5 million in the quarter. Getting back to the larger company and drilling down on the cost discussion a bit more, our focus on controlling expenses was evident in the fourth quarter and will remain a priority through 2012. Operating costs excluding depreciation, amortization and severance decreased 5% in the quarter, mainly due to lower variable compensation costs and newsprint expense, and 2% for the year, despite increased costs associated with our digital initiatives in 2011. That said, we do expect costs to increase modestly this year for the first time in several years. We plan to prudently increase spending in 2012, as we continue to invest in our digital capabilities and subscription acquisition efforts, invest in About sales and marketing efforts and reset our variable compensation targets, even as we expect these expense savings in our production and distribution operations and from further leveraging our centralized processes and resources. Already in 2012, we announced the consolidation of most of Worcester's printing into The Globe facility, which is expected to begin in the second quarter. The Globe facility is also taking on printing and delivery of a local competitor, resulting in higher production costs as well as associated revenues. This deal will be accretive to our performance beginning this month. In 2011, our liquidity position improved even as we paid down several items. And after year end, it further benefited from the RMG sale. As of year end, we maintained a cash position of $280 million, while contributing $151 million to our pension plan last year, with $80 million of that in the fourth quarter and paying back up 14% notes more than 3 years early this past August. Our cash position will be more than $400 million once RMG's -- January's RMG sale is factored in. And we also have entered into an agreement to sell 100 of our remaining units in the Fenway Sports Group for an aggregate purchase price of $30 million, subject to receipt of approvals from Major League Baseball. Two of our priorities for cash will be managing the underfunded levels of our pension plans, and paying off our $75 million, 4.61% notes that mature later this year. Also on that front, we reduced our net debt to $493 million at the end of 2011 from $597 million at year end 2010. Depreciation and amortization decreased to $29 million in the quarter and to $116 million for the year. In 2012, we expect depreciation and amortization to be between $105 million and $110 million with accelerated depreciation expense related to the Worcester consolidation expected to drive depreciation and amortization to $31 million in the first quarter. A little more on our pension obligations. For accounting purposes on a GAAP basis, based on preliminary results, the underfunded status of the company's qualified pension plans at December 25, 2011, was approximately $525 million compared to approximately $440 million at the end of 2010. The funded status of the company's qualified pension plans was negatively affected primarily by the decline in interest rates in 2011. Since the majority of our pension plans are now frozen, actuarial gains and losses from interest rate changes, and asset performance are amortized over a longer period of time and, therefore, are not expected to have significant impact on pension expense in 2012 relative to 2011. We will make mandatory contributions, primarily in connection with The New York Times Newspaper Guild plan, of approximately $44 million of this year and may make further discretionary contributions to our company-qualified plans as well. Turning to our outlook. In the first quarter, the advertising environment remains challenging, reflecting uncertain economic conditions, and we expect total advertising revenue trends similar to the levels of the fourth quarter of 2011. We expect to see the continued benefit from our digital subscription issues as well as from print circulation price increases at The Times, and total circulation revenues are projected to increase in the high single digits in the first quarter. As I alluded to earlier, operating expenses are expected to increase in the low single digits in the first quarter. In summary, our 2011 results reflect the stable progress we have made last year in a challenging environment. The initial digital subscription numbers and the growth in digital advertising revenue to News Media Group reaffirm that our advertisers and readers are embracing our world-class content across multiple platforms. And with that, we'd be happy to take your questions.
Operator: [Operator Instructions] We'll go first to the line of John Janedis with UBS.
John Janedis - UBS Investment Bank, Research Division: Jim, I think you've had maybe 16 to 17 consecutive quarters of expense declines with the News Media. I know you spoke to some of the investments, but I think newsprint doesn't seem to be an issue. And so is the assumption that headcount will be flat, and I guess maybe how confident can you be in the About investments given the rapid change in the marketplace?
James M. Follo: Look, I gave a little bit of color on the cost increases. Look, I think we will be adaptable, as we always are, in the cost side of the business, and as we see revenues develop, we'll adjust accordingly. But there are several factors, that will impact that cost increase. As I said, we are adding a fair amount of commercial printing markup in New England that comes with cost and revenues, marketing and customer acquisition, and investments in our digital products will be part of that as well. And we'll be adding some heads in that area as well. A little too early to make a call on headcounts overall. On About, I think you had asked about About as well, John?
John Janedis - UBS Investment Bank, Research Division: Yes. Yes.
James M. Follo: Look, I think we've made great progress. I mean, we're -- we've made great progress on the display side. I think we're in a good place, and we really got a fully rebuilt sales staff on the display side. I think we're beginning to execute way better, and we think we're on the right path there. And we'll see. But we're confident we've done everything we can to put us in the best place. I think on the CPC side, I think you've seen -- we saw in the fourth quarter the first time we've seen positive page view growth for the year. We started the year at about negative 10 on the page view and we're actually slightly positive. And we expect to continue to grow page view growth. I think that will be critical to turning around the CPC side. We're very focused as well on maximizing click-through on the Google ads as well, and we're taking -- we've got some significant number of initiatives to drive that as well. And then, of course, as you get deeper in the year, I think the comps get easier, so I think all those things together should put us in a better place. I think there's a lot of work to be done, but I don't think there's much more we can do than what we're doing now, and I think we still remain confident we'll be able to turn it around..
John Janedis - UBS Investment Bank, Research Division: Okay. And maybe can you also -- can you provide a little more detail on the Lincoln conversions? It sounds that you should have maybe a bit more of a fairly precise estimate given the timing of the -- when those roll off?
Arthur O. Sulzberger: We know quite precisely what the conversions are. We're not prepared to disclose them. The conversion program started in early December, and we had a very nice start. In terms of the growth that we saw in the fourth quarter, it's a factor but not the major factor in the fourth quarter growth we've -- that Jim reported. The significant conversions are taking place with the turn on the calendar year as you would expect because the complementary nature of that access ended on December 31. And we're progressing quite a bit ahead of where we thought we would be by the end of January. We expect it to take several months for the conversion to fully play out. And we're -- overall, those conversions are probably double of the rate of the, kind of, the next most engaged users, if you will, that we experienced in the early part of the launch.
John Janedis - UBS Investment Bank, Research Division: Okay. One quick one also for Jim. Sorry for taking up so much time, but if I missed this, forgive me. Can you please give us an update on your thoughts on returning cash to shareholders?
James M. Follo: Look, in my remarks, I said we're still dealing with an underfunded pension, which as I said, has widened this year, given the very low interest rate environment and, like we said, we're obviously very, very highly sensitive to interest rates. Interest rates going backwards this year. We have a debt maturity that comes due later in the year, $75 million. We are well prepared. As I said, we'll have post the RMG sale and then just -- we just announced the Fenway Sports Group sale. It will put us meaningfully north of $400 million and continue to grow cash. I think it puts us in a way better place. But as of right now, we'd like to see a little bit more movement, a little bit help in the interest rates, so that we can confidently address those issues.
Operator: We'll take our next question from Doug Arthur with Evercore.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Jim, just to clarify, when -- in terms of your Q1 guidance on circulation, that's for the total Media Group, correct?
James M. Follo: Well, it's total circulation revenues, an item on our P&L, which is all -- which is all News Media Group. That would -- and that would strip out any Regional Media Group numbers, which should be relatively insignificant. But that would be ongoing operations, New York Times, Boston Globe together.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Okay. Right, right, right. So the implication then is that the -- with the pay wall momentum at The Times, one would assume then that the circulation and the price increase, hefty price increase, that circulation revenues at the Times Media Group would be probably double digit then?
James M. Follo: Well, we're high single digits with -- on a combined basis. That would be a reasonable estimate.
Douglas M. Arthur - Evercore Partners Inc., Research Division: Okay. And then just on one detail. I'm not sure if you said this. What were your -- what were the -- what are the FTEs now pro forma for the sale of the regionals?
James M. Follo: Well, the regionals took about 1,700 employees out. I think, we -- prior to that, we had about 7,500 employees, so somewhere in that neighborhood is about the headcount. That was about, by the way, about 2% down year-over-year, prior to pulling out RMG. Doug, I'm sorry, that would be -- that would give you about 5,600 post RMG.
Operator: We'll go next to Craig Huber with Huber Research Partners.
Craig Huber: A few questions. First one, just to help us clarify, if you would, how did the monthly ad revenue trends progress on a year-over-year basis for the News Media Group?
James M. Follo: I think in my remarks, we were down about -- advertising down 7% in November, December about 2% -- October, November, negative 7%; about 2% in December. We faced some easier comps in December relative to October, November.
Craig Huber: And then how would you say the January fared?
James M. Follo: Look, as we said, we think the first quarter will likely be in line with what we saw in the fourth quarter on -- as an average of those 3 months. So that would, look, well, I'd say, largely suggest that what we saw in December was, I think, more comp driven than, I think, economically driven.
Arthur O. Sulzberger: Well, it's definitely comp driven, and also, it was holiday season. So I wouldn't read a whole lot into that monthly improvement. What's governing the advertising climate is one, the secular shifts across platforms, and two, particularly in the second half of last year, the economic climate and the huge uncertainty that affected business conditions. And that uncertainty continues into the first quarter.
Craig Huber: Okay. And then also on the cost front here, your guidance for about 1% to 3% in the first quarter. Can you just talk a little bit further about that? Why the upper pressure? And also, are you expecting that for the full year in that sort of range?
James M. Follo: Well, look, at my remarks, I called out a few items. We are spending money to acquire digital subscriptions. You want to keep that momentum going. We're also investing in costs related to our digital initiatives and continuing to build out our content offerings there. We do reset our, kind of, performance-based programs each year, that will create a negative comparison. As I said, we're also -- we're taking on a bit of commercial framework. That comes with some revenues, but it certainly flows through costs. And I would also point out on the, kind of, the digital acquisition side, we will be recording sales of e-readers on a gross basis. And there's, as I think you all know, that there's a commission associated with that. We'll be reporting our revenues on a gross basis, and we expect to see a meaningful cost increase, just related to recording that on a gross basis going forward as well. Those are the key factors. I think -- as I said, I think we'll have to be adaptable to the revenue environment as we see fit, but right now, that's our plan. So -- and as far as -- many of those factors are kind of not necessarily isolated to the first quarter. I'm not going to get into specifics by giving forward guidance on cost, but I would suggest that those items I listed are not kind of one-time, one-quarter items but are likely to persist throughout the year.
Craig Huber: And then lastly if I could. This 390,000 pay wall digital subscribers, it looks like it's not totally apples-to-apples with the number you've reported for the third quarter because, I guess, it now includes IHT contribution. Did IHT contribute, what, roughly, say, 10,000 subscribers to that? Or what's like the number, please?
Arthur O. Sulzberger: That's a good estimate. The IHT launched -- already was in the marketplace with e-reader subscriptions and launched their subscription packages in October. So those numbers are now rolled into the total.
Craig Huber: And then if I -- lastly on this, I'm sorry. Last quarter, I believe you guys said it was about 57,000 came from e-readers and Replicas. Was that -- how much was that number this time around, please?
James M. Follo: Not materially different.
Arthur O. Sulzberger: That's supposed to be a relatively stable number. We tend to see material changes coming out of the holiday sales of those devices, so that information lags to us from those vendors. And we'll expect to see those probably by the time we report Q1.
Craig Huber: What would this IHT number -- I'm sorry. This IHT number, what was it in the prior 2 quarters? Do you know? Maybe I am not sure, exactly when it was launched, but...
Arthur O. Sulzberger: Maybe half of that. Their e-reader base was probably about 5,000.
Operator: We'll take our next question from William Bird with Lazard.
William G. Bird - Lazard Capital Markets LLC, Research Division: Yes, I was wondering if we could just start with About. I was just wondering what contributes to your confidence that the business can turn in the second half? And then I guess on expenses related to About, what do you expect the expense profile for that business to look like in '12?
James M. Follo: Look, on the expense side, we're investing in sales staff and marketing and there's a couple of other items we'll be investing in, so I think we'll see a meaningful pickup in expenses next year for About. Look, as far as the confidence, as I said, we started the year on page view down about 10%. We ended the year up 2%. I think we'll get some boost, once we cycle with some of the changes that Google made throughout 2011. So I think on the page view side, we will -- we are planning on seeing better page view growth, and I think that should help quite a bit on the CPC side. I think we're doing a lot of things around optimizing pages and optimizing click-throughs, the ads, which we expect to see some fruits of our labor as well. So I think those are the 2 primary points on the CPC side. And on the display side, I can only say we feel really good about the staff the built. I think we went through a pretty difficult period with both staff turnover and some execution issues that I think are behind us. And we're going to be watching that carefully, and we expect to see much better performance as those people gain traction in the market. That's what gives us the confidence.
William G. Bird - Lazard Capital Markets LLC, Research Division: And we're just a month or so into the first quarter. Have you seen any shrinkage in the rate of decline at About in the first quarter?
James M. Follo: Like as I said, I think our total revenues including About will be about what we saw in the fourth quarter. So that would suggest we'll see maybe some modest improvement. But I think we’re really focused much more on the back half of the year to see meaningful improvement.
William G. Bird - Lazard Capital Markets LLC, Research Division: And just separately, I was just wondering if you have any more Lincoln-like sub promos in the works?
Arthur O. Sulzberger: We're in discussions with advertisers about other types of programs, but we're not prepared to announce any at this point.
Operator: We'll take our next question from Alexia Quadrani for JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Just a follow-up question on your comments on About. I know you enjoyed many years of good growth from that investment. But now with the structural changes, with the change in Google, is it as an attractive a business longer term? I mean, I guess I'm trying to get a sense of do you think it's sort of a core holding for New York Times?
James M. Follo: Look, About has been and continues to be a good business for us and generates quite a bit cash flow. Our focus very much right now is to get that business moving back into the right direction. And as I said, we think we're on that path, and that's really where our focus is right now. But it has been, and we think will continue to be a good business for us.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: And then just on the Boston Globe digital subscribers, is there any you could sort of give us a framework of how we should think of that number longer term? I know it's sort of a recent initiative, but any kind of ballpark of what you think would be a good number to achieve in terms of number of digital subscribers.
Michael Golden: This is Michael Golden. We're not making a forecast as to the numbers in the future. But we believe that this will continue to grow. The number of unique visitors coming to the combination of Boston.com and BostonGlobe.com has increased significantly. They have, like The Times, consciously built a porous pay wall. So high number of visitors and a lot of opportunity to refine the site and the subscriber acquisition programs.
Operator: We'll take our next question from Leo Kulp with Citi.
Leo Kulp - Citigroup Inc, Research Division: Can you talk about -- you should have some easier comps this year because of the anniversary of BP spill. But then you also have probably a weaker technology outlook. Can you talk about sort of how you're looking at the comps by sector going into 2012?
Arthur O. Sulzberger: Weaker technology meaning the comps are tough? Is that your point there, Leo?
Leo Kulp - Citigroup Inc, Research Division: Yes. The comps are tough because of all the tablet launches and that sort of thing.
Arthur O. Sulzberger: Well, as you know, we had a terrific year last year in the technology category across print and digital. And we've got -- based on conversations with key accounts, we've got lots of reasons to believe that this coming year will be another good year in that -- for that category. The corporate sector as a whole, a number of the national accounts are off to what I would characterize as a slow start in terms of methods. But there is lots of activity in the pipeline in the corporate category itself, probably double the number of RFPs versus a year ago. So the economic climate of uncertainty that has carried over into Q1, I think, if I can make a sweeping generalization, that a lot of the categories are taking stock of the climate, at the same time preparing lots of plans for spending. So there are a couple of categories, in particular transportation, where we would expect -- where we're fully expecting those campaigns to launch in Q2, barring changes in the economic climate. So it's a slow start to the year, I guess, is the way to characterize it. But reason to believe we're going to have some good results in key categories from national.
James M. Follo: Leo, I think you had asked the question about BP. BP was more of a Regional Media Group issue than it was a New York Times media Group issue, less than 1 point of the decline for -- in advertising revenue for The New York Times Media Group, which related to that comparison and all my comments about forward transfer, excluding regional.
Leo Kulp - Citigroup Inc, Research Division: Got it. And then can you also talk a little bit about what's driven this kind of meaningful slowdown in The New York Times or the whole News Media Group digital revenue, and how you plan to address that going forward?
Arthur O. Sulzberger: At The New York Times, there's a tail of 2 halves last year. The first half, except for the period around the Japanese tsunami, we had very, very robust digital growth. And then in the second half, and I believe I made comments to this effect on the third quarter call, we started to see the uncertainty that was -- that are -- our print spending was so sensitive to, started to get a grip on the digital spending as well. And we're seeing that uncertainty carry in to Q1, but we can expect it to mitigate as we get into the year. So in other words, we expect digital to get -- it's got comps -- that were an issue in the first half and are a benefit in the second half. And then the economic climate as it affects the digital spend, we expect to begin to change as well.
Operator: We'll take our next question from Edward Atorino with Benchmark.
Edward J. Atorino - The Benchmark Company, LLC, Research Division: Yes, I got a couple of questions. One, could you talk about your digital pricing strategy for 2012, number one? And Jim, could you remind me when you bumped up the circulation prices at The Times last year? And then thirdly, you were talking about some categories. Could you go through the major categories, luxury, fashion, et cetera. And lastly, how are the magazines doing and are they going to be continued in 2012? Not the Sunday magazine, the other magazines.
James M. Follo: We may have to get a recap of those questions, but I'll start with the only one that you asked me. We did not have any price increase last year for anything on the circulation side, so.
Edward J. Atorino - The Benchmark Company, LLC, Research Division: I thought you raised the cover price?
Arthur O. Sulzberger: 2.5 years ago. 2009 was the last time we increased our prices.
James M. Follo: And that would be about the same for The Globe as well. We have -- last year, we had no price increases in our circulation.
Arthur O. Sulzberger: Ed, your question about digital rates, was that advertising or subscription?
Edward J. Atorino - The Benchmark Company, LLC, Research Division: Subscription rates. There's a lot of giveaways, subscribers -- a lot of subscribers don't pay, et cetera. So was there any there any change in the thinking regarding the pricing of the digital product?
Arthur O. Sulzberger: Our digital subscribers pay. There's an introductory offer $0.99 for the first month. But then they convert to full rate at the end of the month. And that conversion rate is very strong. Categories in the fourth quarter is a continuation of the story that we saw throughout the year. The luxury segment performed very strongly in Q4. Transportation category, primarily from airline advertising, turned into a strong positive for us whereas it had been a significant negative in the prior 3 quarters. Media became a strong performer as well in Q4. Some modest growth or flash performance from books, live entertainment, automotive healthcare. The technology category continued to be a positive factor in print, but it was negative in digital, making it negative overall. And that was a comp story, unusual strong spending in Q4 prior year. Financial category is in a negative performance to Q4 as well as corporate hotels and residential real estate. And your -- I'm sorry, your question on magazines?
Edward J. Atorino - The Benchmark Company, LLC, Research Division: Yes. The -- not the Sunday magazine but the quarterly Times Magazine.
Arthur O. Sulzberger: Well, looking at the magazine in total for the year last year, we had very low single-digit declines, and we performed better than the magazine industry as a whole.
Edward J. Atorino - The Benchmark Company, LLC, Research Division: Are you going to continue maintaining those magazines?
Arthur O. Sulzberger: Those are lucrative products, yes.
James M. Follo: Yes.
Operator: That will conclude today's question-and-answer session. Ms. Schwartz, I'd like to turn the conference back over to you for any additional or closing remarks.
Paula Schwartz: Okay. Thank you so much for joining us today, and please give us a call if you have any follow-up questions.
Operator: Thank you, ladies and gentlemen. Thank you for your participation. This will conclude today's conference call.